Operator: Greetings. Welcome to United States Antimony Corporation's Second Quarter and Six Months Ended June 30, 2024, Operating and Financial Results Meeting Webcast. [Operator Instructions] Please note this webcast is being recorded. I'll now turn the webcast over to your host, Gary C. Evans. You may begin.
Gary Evans: Thank you, and welcome to our second quarter and six months ended financial and operational conference call. As you know, we've announced our numbers this morning. I have with me today on the call, Rick Isaak, who is our Chief Financial Officer; Joe Bardswich, who is co-CEO and a Board member; and Jonathan Miller, who is new. He's our Vice President, Investor Relations and also Global Sales Director. So those three gentlemen will be speaking as I turn various segments of the call over to them. I want to just give you a very quick summary of financial results. I'm not going to steal Rick's thunder. He has got a lot more detail. But in summary, revenues were up 26% for this period. Cost of sales were up only 6%, which in turn allowed gross profit to be up 122%. This allowed us to report a net income from operations -- continuing operations, which was $30,000. This company is still in what I would call a turnaround story. We're going to be making a lot more changes. We're -- we'll talk today about some of those in the various divisions, but it's good for us to see the operational changes that have now resulted in the financial statement changes as you've seen today in our reported income statement. So let's let Rick give us a little more detail on the financial results and what happened in the second quarter and six months ended June 30. Rick?
Richard Isaak: Thanks, Gary. I'm going to review our consolidated results, then a few metrics at each of our businesses. And then a few key areas in our balance sheet and cash flow. So I'll start with the consolidated results of our continuing operations.Sales were $5.6 million for the first six months of this year, which, as Gary said, is an increase of 26% compared to last year. This increase was primarily related to a higher volume of our antimony sales and a higher price on our zeolite sales. Gross profit, as Gary mentioned, $1.7 million for the first six months of this year, which is an increase of 122% over last year. This increase was primarily related to improved efficiencies with the higher volume in our antimony business, partially offset by more repairs, maintenance and other related costs with our zeolite business, both of which I'll talk a little bit about more later. Operating expenses were $2 million for the first six months of 2024, an increase of $1.1 million compared to 2023. This increase primarily related to about $300,000 of noncash stock compensation expense, $310,000 of project costs, $360,000 of salary and Board fee expenses and $130,000 of 10-K and 10-Q costs that were incurred earlier this year given that we filed on time with the SEC. The $310,000 of project costs are part of our growth and improvement strategy for the company. We're unable to discuss several of these projects at this time. One that we can discuss is the mineral resource study we're performing on our zeolite business in Idaho, which we anticipate completing this year. Next, let's look at a few metrics related to each of our businesses. First, our antimony business. Sales from our antimony business for the first six months of this year increased by 36% over the prior year, and gross margin was more than 2x last year's gross margin. The gross margins we are achieving this year are higher due to efficiencies with the higher volume. We have seen even higher gross margins with higher volume in the past, but the increments are smaller at these levels. Our average antimony sales price per pound for the first six months of this year was $4.65, which mainly relates to antimony oxide sales. There are a couple of reasons this average price seems low compared to the antimony market price in the last year. This year, we processed some customer owned ore in the antimony trisulfide, which lowered our average sales price per pound compared to the market price and compared to last year. Also, the current antimony metal market price is around $10.54 per pound. However, if you look at it daily, this market price went above $6 per pound in early May 2024, and more of our second quarter sales were ordered prior to May, which is when we lock in the sales price. And all of our second quarter sales were ordered prior to June. The key is that we increased our gross profit and gross margin with the increased volume compared to last year. Next, our zeolite business. Sales from our zeolite business for the first six months of this year increased 26% over the prior year. Gross profit decreased by $397,000 compared to last year, and loss from operations was worse by about $540,000. However, more of the loss from operations was incurred in the first quarter of 2024, meaning we have been improving during the year. BRZ had a loss from operations of $432,000 in the first quarter of 2024 and a loss from operations of $148,000 in the second quarter of 2024. The higher loss in the first quarter was primarily due to increased repairs, maintenance and other related costs and repairing older equipment that we're saddled with, coupled with lower sales. Next, our subsidiary in Mexico. As discussed on prior earnings calls, we closed and discontinued our operations in Mexico on March 11, 2024. During the first six months of this year, we sold most of the antimony inventory on hand in Mexico, which generated $1.1 million of revenue. However, even with these higher sales and the closure, our discontinued operations in Mexico still generated a loss of $150,000 for the first six months of this year. Next, let's look at a few items on our balance sheet and cash flow. Inventory was lower at June 30, 2024, compared to the end of 2023, which was primarily related to our antimony inventory. Our main antimony supplier had some planned downtime towards the end of the second quarter. But it's delivering ore again, and we're working to meet demand and increase our inventory levels. We're also looking for other sources of antimony ore so we can grow sales and maintain a healthier supply of inventory on hand. Our receivables were higher at June 30, 2024, compared to the end of 2023, which again is primarily related to our antimony business. We shipped a lot of product at the end of the second quarter of 2024, and all of these receivables have since been collected. Cash and cash equivalents balance at June 30, 2024, was $12.4 million, an increase of $492,000 from December 31, 2023. Your management team and employees of our great company are focused on growing and improving the business every day. A little over 7 months ago, we ended 2023 and reported a large net loss for 2023, which included operations that have since been discontinued. In 2024, we reported a modest amount of income from the continuing operations. We're not claiming a victory. There's still a lot of work to be done. But it shows a team focused on turning the company around and making improvements with profitable growth. I'll turn it back to you, Gary.
Gary Evans: Thank you, Rick. I appreciate that. I'm going to spend a few minutes now talking about zeolite. And then when I'm done, I'm going to turn over the call to Joe Bardswich, who's going to talk about antimony. And then we'll turn the last -- latter part of the call over to Jonathan Miller. So, zeolite. That's been a big focus for us at Bear River. When I got involved with this company 1.5 years ago, I had heard about the mine and I heard about operational issues and the problems we were having with regulators and what have you, it became very obvious that we need maybe a mindset change and the management change. And so we hired a VP and General Manager who started early this year, who in turn brought on a new plant supervisor. And then he, in turn, brought on a new office manager. So we have the 3 top people at Bear River today are all new as of the last few months or at the beginning of the year. Well, we saw the changes. And we knew we had to spend some money to fix the problems that existed. And you got to understand the way the accounting rules work, we're required to expense those mechanical changes we make. It's only when we maybe buy a new piece of equipment that we can possibly capitalize. So while we've been turning this processing facility around, we've been fixing things right and left. And the amount of CapEx spending in the second quarter of 2024 versus the first quarter was a difference of $450,000. We spent $501,000 on capital spending versus the first quarter was only $51,000. So it shows you we are spending money to get this process running like a fine-tuned machine. And that, in turn, gave us a 94.3% run time, something I don't think the company has ever had. We also caught up on our sales, and we're building inventory. So just to give you a quick reflection, the first quarter of 2024, zeolite tons sold at Bear River was only 2,350 tons. We sold 3,746 tons in the second quarter. That's up 59%. Sales were up 64% from $603,994. And as I mentioned, the capital spending was up significantly to almost $0.5 million. So what's happening? We have caught up to our backlog. At the end of the first quarter, we were about 7 weeks behind on delivering customer orders. By the end of the second quarter, we were 2 to 3 days behind and starting to build inventory. As of today, we have zero backlog, and we're continuing to build inventory. So what does that tell you? It tells you that we got to now get new sales. Hence, while we hired Jonathan, while we brought on board his corporate development Melissa. Jeff Fink, our plant manager, is also helping us. And we are trying to figure out, okay, here is our customer base, what do we do? And so we announced the new product CattleMax. We've been going to cattle shows. We've done Idaho. We've done Oklahoma, and we're ready to do San Antonio. We're talking to a number of universities about their cattle herds and how they could test zeolite with their herds, et cetera. We have no doubt that if people are properly educated about the qualities of zeolite, our orders will go up significantly. So that is the reason -- one of the reasons we hired a lobbyist firm in Washington, started working for us July 1. And Melissa Pagen and I did a 2.5-day stroll through D.C. about 2 weeks ago. And I guess we probably had, I don't know, maybe 12, 14 meetings. And not a single soul, no House member, no congressmen, no chief of staff, no secretary, nobody knew what zeolite was. So we educated them and told them about all the qualities of zeolite and why the U.S. government ought to be stockpiling it. And the reason for that is it's a tremendous tool for cleaning up nuclear waste. Zeolite was used in all 3 major nuclear waste sites, meaning Chernobyl, Three Mile Island and -- Japanese always get that name wrong. I can't remember, but with the Japan problem. The fact that the U.S. government has a lot of nuclear submarines, has nuclear plants, is a big deal. And the EPA is coming up with all kinds of new regulations around this. So that's Area #1. Area #2 is water treatment cleanup. Zeolite is a phenomenal mineral for that, and the U.S. government has lots of water treatment problems. So our lobbying group is planting the seeds. It has worked because I'm going to Idaho on Monday. I will be up there most of next week, and we're actually entertaining congressmen at our zeolite facility there at Bear River. So these are representatives from the state of Idaho. So it boils down, first of all, to educating people, why they ought to be looking at zeolite and what a tremendous asset it is. We have great comfort and now significantly expanding our business here because of the test holes we drilled about 90 days ago that showed that we have an incredible resource of zeolite. And the quality of that zeolite is by far greater than any of our competitors. And we know that because we've been looking at our competitors very, very hard. So it's not a hard sale when you have reserves, when you have quality, when you have the capability to deliver. And that's so important because historically, this company could not meet its deadlines, could not make its delivery dates. And so we lost a lot of business because of that, especially big-box stores like Costco and Home Depot and Lowe's, they are not going to order if you can't deliver. And so now that we know our reserves and that reserve report, as Rick mentioned, is being prepared, we'll have it by year-end. And it's actually a requirement for a mining company to do. I don't know how we got away with it all this years, but we did and it's coming now. So now we know we got the reserves, we got the high quality, and we got the capability to quadruple our production. And obviously, that takes capital. So as we're getting -- becoming a much more lean running machine, having very high efficiency run times, solving all of our regulatory issues concerning dust control, we will be comfortable applying more capital and taking -- adding another line, adding other equipment. One of the other meetings we're having in Idaho next week, we have 2 new products that are not on the market today that we're developing. You saw a press release earlier this year about Pete Bunger coming on of our Board of Directors. He's our Technical Advisory Director, I said Board, he's our Technical Advisory Director. Pete is a guru of zeolite, been in it all his life, has a very profitable company himself. He's our biggest customer. So he has developed some new products, and we're working on patenting those and launching some new products that people have never had before. So the zeolite side of the business is very exciting. And knowing what we know today about the quantity and quality of our reserves, it gives us great comfort in spending capital. So that's why we're lobbying and that's why we're trying to launch new products and go into trade shows and doing whatever it takes. So -- if we have the orders, we will be able to deliver now, and that is something this company could never say before. Joe, let's jump into antimony.
Lloyd Bardswich: Okay. Well, we're certainly cognizant of the worldwide shortage of antimony and we're taking several steps to improve our position. John Gustafson, President of the antimony division is the recognized antimony expert in this country. And we've recently hired geochemist Aaron Tenesch as Vice President of the antimony division. John is particularly strong in pyrometallurgy. In other words, fire smelting, et cetera. And Aaron brings expertise in the hydrometallurgy section of the industry and in particular, froth flotation. Froth flotation is a standard milling process for upgrading both mineral ores in this country, copper, nickel, lead, zinc, et cetera. And utilizing specific chemicals attuned to the nature of the specific mineral one is trying to collect. It's possible to separate the deleterious materials from the desired mineral. In this case, we're trying to get the antimony trisulfide upgraded. Aaron and I worked together on other projects for other companies, and I know he'll be an asset to United States Antimony. In our search for additional antimony supplies, we recognize worldwide that the bulk of the deposits are small, often labor-intensive, underground operations without beneficiation facilities and [indiscernible] generally, this looks good. We'll put it in that bag and throw this away because it doesn't look so good. Our facilities in Thompson Falls are geared to the final upgrading to bring material to a final state meeting the specification of the customer. Without a high enough grade, we cannot process these lower-grade ores. Aaron will help us in our attempts to upgrade the subpar antimony trisulfide material to the state that is acceptable to our Thompson Falls facility. For antimony trioxide and antimony metal, our primary source of antimony is from the waste byproduct of a Canadian lead-zinc smelter. Supply is directly proportional to the quantity of material smelter. Again, we have searched worldwide for other smelters that might have sodium antimonate. And so far, we've not been successful, as most smelters either have a different ore or a different process that does not produce the antimony. We continue to look for sources of antimony and any other critical mineral on nonfederal lands in the U.S. and Canada. Nonfederal lands because it's been our experience that permitting on federal lands is a long drawn out task with no guarantee of success. We are making progress in identifying other possible sources. But at this time, we have nothing definitive to report. Back to you, Gary.
Gary Evans: Very good. Thank you, Joe. One little comment I want to make concerning antimony versus zeolite as it relates to our company. We have plenty of supply of zeolite and need new customers because we caught up. Antimony, whatever we can make, we can sell. We have a lot more buyers than we have product. So the two hard minerals have counter issues. So as Joe mentioned, we brought on a new guy named Aaron Tenesch about 1.5 months ago, who's been working the phones and talking to countries all over the world with -- concerning antimony supplies. And we recognize that we're missing a piece of the puzzle being, flotation. So we have been talking to several different companies about how we fix that, and hopefully, we'll have some news on that pretty soon. That is the primary reason we have not gone to Washington yet with seeking government funds on the antimony side. We're trying to get all our ducks in a row. We have the only smelter running in the United States. We hopefully will have flotation in the not too distant future. And we are working on supply -- both our own supply as well as supply from other countries that we could process. So we're trying to put ourselves in a very unique position that nobody else has that will garner the attention of our U.S. government, we think, in a strong way. And we know based on recent conversations we've had with government officials that their interest level is very high because we have additional calls and additional meetings coming up shortly. So we're working both of these hard metals very, very hard and trying to become a much bigger company than what this company is today. Let me jump to another item before I turn it over to Jonathan Miller. We did have our shareholder vote here at the end of July. All the existing directors were reelected, and we had 7 different resolutions that were all unanimously passed. So I wish to thank shareholders for having the trust and confidence in your management team and Board members at U.S. Antimony to give us this overwhelming support of confidence. And these things will be very helpful in the future as we continue to grow the company. Before I turn it over to Jonathan, one of the things we have not been doing since I came on board is really doing any form of marketing to shareholders because we didn't have a great story to tell. It was a turnaround situation, and we needed to start showing improvements in what we were doing. I feel highly confident of doing that now. And that was the reason for bringing Jonathan on board. He had worked with me on some other transactions in the past with other companies. And the marketing today and the social media and Internet outlets is very much different than the old days when I was marketing in the '80s and '90s and 2000s for other companies. So we are trying to bring our company up to the 21st century, and we've been busy, and we're going to be very busy through the end of the year. So Jonathan, why don't you introduce yourself and tell everybody what you're doing in the IR area for U.S. Antimony?
Jonathan Miller: Great. Good afternoon, everyone. I'm Jonathan Miller, Vice President of Investor Relations and Global Sales Director at United States Antimony. I've spent the last 7 years working with hundreds of public companies as a change agent for digitization and automation in the evolving investor relations landscape. I'm excited to bring my knowledge, experience and relationships to UAMY and speak with you today and bring you up to speed on the strategic initiatives that we're focusing on as we continue to drive growth and strengthen our position in the market. First, I want to highlight our recent OTC Markets virtual presentation that took place on July 23, where we shared our progress and future plans. If you missed it, I encourage you to watch the recording available on our website. We also have several upcoming events where we'll be presenting our story. On August 14 at 1:00 p.m. Eastern, we'll be at the Sidoti Virtual Investor Conference. And on September 25, time to be determined, we'll be participating in the Noble Capital Markets Virtual event. These platforms provide great opportunities for us to connect with the investment community, and I look forward to engaging with many of you there. I'm also pleased to announce the launch of our new corporate profiles on LinkedIn and Twitter, now known as X. These channels will be key in keeping you updated with the real-time information. So please go ahead and follow us to stay informed about our latest developments and insights. Our optimism is further fueled by our restructuring of our management and operations teams, which has positioned us to not just be profitable, but also a dominant force globally in the antimony and zeolite markets. Our outreach and market awareness strategy is another critical area of focus. As Gary mentioned, we are meeting with top lobbying firms and congressional leadership in D.C. and actively partnering with analysts and firms to enhance our visibility and attract institutional investors. This is part of our broader initiative to secure government grants and play a vital role in strengthening America's critical mineral pipelines and infrastructure. These efforts are not only pivotal for our growth, but also aligned with national priorities, making us a strategic player in this space. In conclusion, the community should be excited about our new direction and the many opportunities we look to capitalize on. I look forward to discussing these topics in more detail during our Q&A session, and thank you for your continued support and interest in United States Antimony Corporation.
Gary Evans: Thank you, Jonathan. And I assure you, Jonathan has been a great right hand for me and we'll be able to do a whole lot more together coming in the next few months. I want to give you a little bit of forward-looking statements. Fortunately, we've got -- we're safe here. We're hoping to be in a position to publicly announce one of our new ventures within the next 10 days. This venture is new to us. It's exciting. It was approved by our board of directors yesterday, and we're just concluding definitive agreements now. So I would anticipate we'll be able to talk about that more in greater detail next week. We know we have some listeners that have questions, and we'd like the operator to begin asking our first question so we can try to address them.
Operator: Certainly. [Operator Instructions] Our first question is, seeing that Bear River Zeolite has finally had equipment and people upgrades, how big could this part of your business become and in what time frame?
Gary Evans: Well, it's a great question, something we ask ourselves every day. Look, it all depends on the business. We are going after big business. We're not going after little business. So when I say that, I think only 5% of the cattle in the United States are being fed zeolite, and that's a huge growth opportunity. We know water treatment facilities could use zeolite. We know nuclear waste, as I said earlier, the government ought to be stockpiling our zeolite for the next nuclear disaster. So that's what we're doing. We're educating these various parties about why this is such a great product. We're not going to build the facility out until we know the business is coming. So we have a good sense, and we'll know a whole lot more, I think, over the next 30, 60, 90 days. So to answer your question, it could be huge. We've got the reserves. Those reserves are going to be here long before anybody on this call is still alive. They'll be here 200, 300, 400 years. So we've got a great resource. We've got good people, and we have the ability to grow. So as soon as we get the comfort that we got the kind of orders so we need to spend more capital on this facility, we'll be doing it. And I can promise you, the people up there are chomping at the bit to build out more capacity.
Operator: Your next question is, how do you plan to be successful with CattleMax while other companies, including one of your customers, has a product serving the segment? Won't you alienate your customer? Do you plan on taking market share from others who are trying to grow the total addressable market?
Gary Evans: Good question. We will still sell to the existing parties we sell to. We're trying to attract new customers, new cattlemen, new feed lots that are currently not using zeolite at all. And that's really going to be through nutritionists. Nutritionists are the ones that cattlemen listen to. And so we have a specific targeting -- target method of soliciting nutritionists. And so I don't see there being any conflict because even if a distributor came to us and said, "Hey, we'd love just to be selling your zeolite with our own label." No problem. We'll cut a deal and have their zeolite compete with CattleMax. So we're not concerned about that, and we would never undercut our existing customers.
Operator: Your next question is, regarding zeolite, I thought there was tremendous potential selling into mining companies for air filtration after blasting. Do we have anyone trying to grow this business, especially in Canada?
Gary Evans: We do have a salesman in Canada. We have an operation up there, and we shipped quite a bit of material to Canada. There's no question we could improve the marketing and sales efforts we have in Canada, and we've been discussing that internally. Joe, you might comment a little bit about how zeolite is used in that business?
Lloyd Bardswich: Okay. So basically, using explosives underground, in particular, the cheapest way to go was ammonium nitrate fuel oil. The ammonium that detonated with a booster cap or whatever, it produces a lot of ammonia gas that ends up in the mine water and ends up in the mine environment from an air quality point of view, et cetera. The practice is to take the 1440 zeolite so minus 14 mesh, plus 40 mesh. Spread that, as an example, taking a tunnel round, a drift round, you spread that on the ground just before the blast. The blasted material ends up on top of that zeolite, and the zeolite absorbs the ammonia before it has the chance to get into the air and water. Another use underground is in removing metal ions from discharged water, both from the mine and from the milling facilities. A specialized market, but lots of potential to grow in my opinion. Back to you, Gary.
Gary Evans: Yes. Yes, it's another market that you've specifically identified and is another area that we will continue looking at.
Operator: Your next question is, what can you tell us about zeolite acquisitions, which were an initiative mentioned last August 9, exactly one year ago?
Gary Evans: Well, that's a good question. We have -- I will just be upfront. We have been working on an acquisition. We actually weren't invited in until closer to December. So 8 months now, and we've done a lot of work on it. And we found some problems. And I don't know whether those problems will be insurmountable or not. We are -- I would say, the status of us as of this week is we're in standby mode. We've given the seller the conditions of which they would have to meet in order for us to move forward on an agreement. And we are not comfortable that those conditions will ever be met.
Operator: Your next question is, how do we bring back the BRZ business back to profitability?
Gary Evans: Say that one more time?
Operator: Your next question is, how will you bring back the BRZ business back to profitability?
Gary Evans: Well, we reported profitability this quarter. So it's real simple. High run time and more business. So there's no -- as I mentioned, we spent $0.5 million on capital improvements in the second quarter. Well, had we not spent $0.5 million on capital improvements, we'd have had $0.5 million in more profit. So as we get everything fixed and going, and there's no question, economies of scale apply to this business. So if we're able to double production, that doesn't mean we're doubling costs. Our costs may go up 10%, 20%, 30%. So our margins will continue to expand in this area. And when the question was asked about another zeolite business, we have a second transaction that we're working on now. So we are not just looking at one deal and walking away, we have another one that [Technical Difficulty] negotiated. So hopefully, we'll have some news on that in the not-too-distant future. But to answer your question, we turned it around. We've got to increase sales. We've got to get everything fixed, so we're not spending capital dollars and you'll see more money come to the bottom line.
Operator: Your next question is, are you still able to make trisulfide to military specification? My memory is that the original batches depended on the low lead materials from the inaccessible part of Mexico.
Gary Evans: Joe, do you want to respond to that?
Lloyd Bardswich: I think that statement is correct. The material that we produced for the military that met their specs came from the Guadalupe mine in Mexico. We were also able to meet the military specs from the Soyatel mine in Mexico. Both of those operations are unreliable, and we are looking for another source of resources. I'm sorry, we have demonstrated the ability, and that will be enhanced in the future with the addition of Aaron and the expertise in the flotation.
Gary Evans: I want to say, Joe, is that even though the material that we processed was from our Mexican operations that we've shut down, we're confident that we can also get material from other sources at a cheaper price and make money. The difference between Mexico and -- we could not make any money. So the relationship that we've formed with the DoD has been good. As I said, we've had some conversations with them actually this week and even more planned next week. And you got to understand, our government, unfortunately, is in a pickle. They don't have enough antimony to meet the demands of the U.S. military. And there's mandates to figure out how to fix that. And we're obviously one of the companies that could hopefully fill that void. Next question.
Operator: Your next question is, what is the probability of a reverse split?
Gary Evans: Well, there's -- I'll put it this way, we got everything approved at the shareholder meeting, and we had a board meeting yesterday and it was never discussed. So how does that -- what does that tell you?
Operator: We have reached the end of the question-and-answer session. I will now turn the call over to Gary C. Evans for closing remarks.
Gary Evans: Okay. Well, just under an hour, thank all of you for taking the time. I know it's a Friday afternoon, but we wanted to get the numbers out. We're proud of what we reported this quarter in the six months, but there's a lot more room to go. And this group of employees now and officers and directors are working extremely well together. We have so many irons in the fire that I can't even begin to tell you. And when you have that much activity and you're going in all these kind of directions that we're going, things are going to click. And as I mentioned, we've got one getting ready to click that we'll be announcing soon. So we're excited about the new direction. We're excited about the team effort. We're excited about all the new people that are helping us. They bring a wealth of knowledge and experience and contacts that we've never had. And so instead of being a sleepy mining company run like a private company, we're an exciting growing public company that's fixed its cash flow issues, that's treated its cash like gold and going to be positioned to show some exciting future opportunities in the not-too-distant future. Thank you all. Have a good weekend.
Operator: This concludes today's webcast, and you may disconnect your lines at this time. Thank you for your participation.